Operator: Welcome to the Fourth Quarter and Full Year 2013 Ecopetrol S.A. Earnings Conference Call. My name is Richard, and I'll be your operator for today's call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Mr. Alejandro Giraldo, Director of Investor Relations officer. Mr. Giraldo, you may begin.
Alejandro Giraldo: Good afternoon, everyone, and welcome to Ecopetrol's Fourth Quarter and Full Year 2013 Earnings Conference Call and Webcast. Before we begin, it is important to mention that the comments by Ecopetrol's senior management could include projections of the company's future performance. These projections do not constitute any commitment as to future results nor do they take into account risks or uncertainties that could develop. As a result, Ecopetrol assumes no responsibility in the event that future results are different from the projections on the conference call. The call will be led by. Mr. Javier Gutiérrez, CEO of Ecopetrol; and also participating will be Héctor Manosalva, Executive VP of Exploration and Production; Pedro Rosales, Executive Vice President of Downstream; Adriana Echeverri, Vice President of Growth and Strategy; Magda Manosalva, CFO; Rafael Guzmán, E&P Technical and Development Vice President; Humberto Fuenzalida, Interim Vice President of Exploration; Alberto Vargas, Financial Controller; and Thomas Rueda, CFO of Cenit. Today, we will begin the presentation with the milestones of the year 2013, followed by the highlights per business segment, and we will finish the call with closing remarks and outlook for year 2014. I will now turn the call to Mr. Gutiérrez, CEO of Ecopetrol.
Javier Genaro Gutierrez Pemberthy: Thanks, Alejandro. Good afternoon to all the participants in today's conference call. 2013 was a good year. We grew in spite of operational restrictions, regulatory changes that affected the cost and complex situations in the capital markets. Some of the main achievements last year were a new annual production record of 788,000 barrels of oil equivalent per day, 4.5% higher than in 2012. This growth was affected by blockades of communities and transport restrictions. Eight hydrocarbon discoveries in Colombia and the commercialities of Caño Sur and Akacías blocks announced at the end of the last year and 1,972 million of barrels of proven reserves at the end of 2013 with a reserve replacement ratio of 139%. About Transportation, we completed the implementation of a profitable business model and began the operation of our affiliate, Cenit, since April 2013, and also the beginning of the operation of the Bicentenario pipeline. With regard to refining, we move forward in the modernization plan at Cartagena refinery. And in our commercial activity, we continued our diversification market strategy for crude oil and products. Furthermore, our accident frequency index reached a new lower record, and we are part of the Dow Jones Sustainability Index for 3 years in a row. Looking at our financial results, EBITDA remained solid despite the lower crude oil prices, the pension provision and the nondeductible VAT resulting from the tax reform. Let's review the next slide, the main financial figures of Ecopetrol.
Magda Manosalva: Thank you, Mr. Gutiérrez. Please go to the next slide. Our revenues rose in 2013 due to a higher production of crude oil and natural gas, greater local demand for fuels and the devaluation of the exchange rate. These positive effects mitigated the drop in the sales price. Variable costs rose mainly as a result of the increased operation of the company. And fixed costs rose due to a higher maintenance cost and nondeductible VAT. Further, it was necessary to make higher provision for pension liabilities and to adjust the value of some equity investments. The aforementioned factors and the impact of the tax reform led to a reduction in the net income in 2013 compared with 2012. Regardless, our EBITDA remain strong, and we'll report solid returns and EBITDA margins compared with our peers. Go now to the next slide to explain the variation of the main lines of the income statement between 2012 and 2013. Our sales increased due to a higher sales volume and the positive effect of the devaluation of the exchange rate between 2012 and 2013. These offset the fall in nominal sales price coming from the lower heavy crude oil prices due to a larger supply of Canadian crudes in the U.S. Gulf Coast. Regarding costs, variable costs rose mainly due to the implementation of the profit center model for transportation, the greater use of trucks, the higher volumes of naphtha and diesel purchased and larger amortization of petroleum investments. Fixed costs increased as a result of a higher maintenance cost, primarily from the integrity program of the transportation infrastructure and due to the impact of nondeductible VAT according to the tax reform of 2012. Operating expenses went up, mainly as a consequence of higher provisions registered to reflect the difference between the value of the pension trust and the actuarial liability and a provision to adjust the value of equity investments, which shall be recognized according to the accounting rules. Non-operating profit was COP 749 billion compared with a loss of COP 580 billion in 2012, driven by the better results of affiliates, a lower impact of the depreciation of the Colombian peso and the reduction in health and education expenses for residents. Finally net income amount to COP 13.35 trillion with an EBITDA of COP 28.5 trillion and an EBITDA margin of 46%. Now I turn the presentation to Mr. Gutiérrez to review the main operational results in 2013.
Javier Genaro Gutierrez Pemberthy: Please move on to next slide to review our CapEx. CapEx in 2013 amounted to $8.5 billion, comprising investments in both the parent company and affiliates in proportion to Ecopetrol's stake. In production, resources were allocated mainly for drilling activities, primarily in Rubiales and Quifa fields and for the construction of facilities, especially in Castilla and Chichimene fields; in transport, primarily to San Fernando-Monterrey pipeline, Bicentenario pipeline and other projects in the Middle Magdalena region; and in refining to the modernization projects of Cartagena and Barrancabermeja refineries. Now I turn the conference to Rafael Guzmán who will comment about the main results of our E&P segment.
Rafael Guzmán Ayala: On the next slide, we will review the production results. During 2013, the corporate group continued its growth path, achieving a record annual production of 788,000 barrels of oil equivalent per day, which represents an increase of 4.5% compared to 2012. This increment was supported by 21,000 barrels of oil equivalent per day from Ecopetrol's direct operation and its subsidiaries, and by 13,000 barrels of oil equivalent per day from our participation in association contracts operated by our partners. Overall, Ecopetrol S.A.'s production reached 742,000 barrels of oil equivalent per day, which represents a 5.6% increase compared to 2012. On the other hand, Ecopetrol's subsidiaries production decreased 5,300 barrels of oil equivalent per day compared to the same period of 2012, mainly due to a transfer of Palermo, San Francisco and Balcón fields from Hocol to Ecopetrol, and by the normal decline of the fields. Now we will discuss the main progress in our strategy to increase recovery factor in current fields. Starting with primary recovery, we have that in the Llanos Orientales basin. More than 360 development wells were drilled and about 119 workovers were conducted. In addition, facilities were improved, mainly in Chichimene and Castilla. All of the above enabled us to obtain 504,000 barrels of oil equivalent per day in this area. In the Mid-Magdalena, more than 390 development wells were drilled, 106 workovers executed and facilities were upgraded in the area of Casabe. Overall, Ecopetrol's production in this region was 107,000 barrels of oil equivalent per day. On the other regions of the country, we drilled 94 development wells and we completed 184 workovers. During 2013, the gas plant of Cupiagua allowed us to increase gas sales overall. On those regions, Ecopetrol reached an overall production of 130,000 barrels of oil equivalent per day. Following, we will have a look at the progress of the nonthermal enhanced recovery project. In 2013, we had significant improvement of the development of the EOR/IOR strategy. We started 7 nonthermal pilots, 2 of them located in the Mid-Magdalena: Bonanza and Nutria; and the remaining 5 located in the South area: San Francisco, Dina Cretaceo, Tello, Toldado and Yaguara. Furthermore, we started the implementation of acquiring injection projects in Suria and Apiay in the Llanos region. Finally, regarding the thermal recovery program, the Chichimene combustion pilot finalized the preliminary activities and obtained a 20% progress over facilities construction. The combustion pilot in Quifa was injecting air by end of December 2013. On the next slide, we will review the exploratory results for 2013. In 2013, Ecopetrol declared the initial commerciality for Caño Sur East and Akacías discoveries, becoming an important result and a milestone for the exploration efforts carried out in recent years in the Llanos basin. Additionally, during 2013, we drilled 22 exploratory wells, A2/A3. 19 of them in Colombia and the remaining 3 overseas. The corporate group had a technical success rate in Colombia of 44%. Internationally, Ecopetrol America obtained 6 blocks on Lease Sale 227 and acquired a stake in the Gunflint project. On the other hand, Ecopetrol Brazil obtained 3 exploratory blocks in the equatorial margin basin, granted during the 11th round of Brazil. The Llanos continued to be one of the key exploration areas for Ecopetrol. The corporate group drilled 52 exploratory wells, 16 of them were stratigraphic wells, 14 were A3/A2 exploratory wells and 22 were A1 delineation wells. All together, we obtained 7 discoveries: Pastinaca, Cusuco, Guainiz in Block CPO-10, Venus in CPO-11 and 3 discoveries in block Quifa. Finally, and aiming to continue with the evaluation of the shale's potential, we have drilled 2 stratigraphic wells in the Mid-Magdalena: Llanito 61 and Huian [ph]. We have also acquired information of unconventional reservoirs from the delineation well, Oripaya 2 in Catatumbo. At the end of 2013, we reached a 1P reserves inventory of 1,972 million barrels of oil equivalent using SEC price and methodology. The corporate group continued consolidating the 1P reserves by increasing the proved reserves by 5.1%. This represents a reserves replacement ratio of 139%, meaning that for every barrel of oil equivalent produced in 2013, we incorporated 1.39 barrels. Now I'd like to pass on to Thomas Rueda, who will comment on the results of the Transportation segment.
Thomas Rueda: Thank you, Rafael. During 2013, the transported volumes increased by 3.1% versus 2012, reaching 1,188,000 barrels per day. Crude oil pipeline transportation increased by 3.6% compared to 2012, mainly due to the increase in the volumes transported in the Ayacucho Coveñas system and the capacity increase in Oleoducto De Colombia from 195,000 to 236,000 barrels per day. In addition, the volumes transported during the fourth quarter increased as a result of the Oleoducto Bicentenario start of operations, which added approximately 60,000 barrels per day. Out of the total volumes transported, approximately 78% belonged to Ecopetrol. Transportation of refined products increased by 1.5% versus 2012. Out of the total volumes transported, approximately 44% belong to Ecopetrol. Finally, we would like to point out that during the fourth quarter, we finished the activities related to installation of a storage tank and pump units in the Vasconia Galán system, which will allow us to increase the supply reliability in the Barrancabermeja refinery. With this, I hand over to Pedro Rosales, who will comment on the Downstream results.
Pedro Alfonso Rosales Navarro: Thank you, Thomas. In 2013, the throughput of Barrancabermeja refinery was 12,500 barrels per day less than in 2012 due to a lower availability of light crudes segregated under maintenance and revamping of crude unit 250. The refining gross margin of Barrancabermeja was at the same level of 2012 of the lower yields of gasoline and diesel due to the processing of heavier crudes was offset by the lower cost of crude oil. The modernization of Barrancabermeja refinery reported 18% progress at the end of 2013. The Utilities Master Plan advanced as planned with the commissioning of a new water plant and a turbo generator. The expansion and modernization of Cartagena refinery reached 85.7% progress while engineering and procurement are almost completed and consortium has an advance of 65.8%. Cracking unit remained out of service in order to facilitate the upgrading of the unit and its integration to the project under safe conditions. Let's review the results of the supplier marketing area. Our sales increased between 2012 and 2013, mainly due to a larger availability of crude oil for both domestic and export sales. The increase in domestic sales was driven by the higher demand of fuels. Our crude oil exports grew by 11,000 barrels per day as a result of the increased production. Fuel oil exports rose in 8,000 barrels per day, owing to a higher production for the processing of heavier crude oil at the Barrancabermeja refinery. The price of our crude basket declined due to: first, the increased share of heavy crude oil in the basket that went to 89% from 74%; and second, the weakening of prices for heavy crudes. It is important to mention the growth in exports to Asia, where we delivered 36% of the crude oil and 54% of products, mainly fuel oil. Now I turn the presentation to Mr. Gutiérrez who will comment on the outlook for 2014.
Javier Genaro Gutierrez Pemberthy: Thank you. Please go to the next slide. The investment plan of the business group amounts to $10.6 billion. Upstream investments will bring an expected production of 819,000 barrels of oil equivalent per day in 2014 and the implementation of secondary and tertiary recovery pilots. Also the group will drill 31 exploratory wells, including 2 in the Caribbean offshore. Additionally, we will continue working in the development of unconventional resources in Mid-Magdalena and Catatumbo regions in Colombia. In Transportation, crude oil capacity will be increased by 40,000 barrels per day, products by 70,000 barrels and the unload truck facilities by 26,000 barrels per day. Refining investments will be allocated to the modernization of Cartagena and Barrancabermeja refineries and the Utilities Master Plan in Barrancabermeja. Finally, we will invest in research and development and the updating of technological infrastructure. Now let's talk about the sources for funding the CapEx. Out of the $10.6 billion CapEx plan, $8.4 billion will be deployed by Ecopetrol directly and through its contribution to subsidiaries. Resources will come from the internal cash generation, the remaining of 2013 financing, divestment of nonstrategic assets and if necessary, additional debt. Please go to the next slide to review the main achievements of the company since the IPO in 2007. In 2008, we launched an ambitious plan with 3 pillars: harmony with the shareholders, continued enhancement in our operational metrics and value-added for our shareholders. Since we have reached important milestones, among which are: first, the production of the business group rose 97% with an average reserve replacement ratio exceeding 100%; second, the successful implementation of a profitable business model for transportation; third, the delivery of liquid fuels with the highest quality standards in Latin America. And fourth, a consistent improvement in health, safety and environmental performance and a higher social investment. The growth was profitable, with high EBITDA margins and remarkable increases in net income. These results are very competitive when compared with the oil industry. Please go to the next slide for the closing remarks. Colombia is a very attractive country for the oil and gas investments, providing exploration opportunities, a stable regulatory framework and a competitive contractual scheme. Many companies have returned to Colombia to carry out exploratory activities, and the National Hydrocarbons Agency is preparing a new round for 2014, which will entail offshore and unconventional blocks. Ecopetrol has thrived with the country. We have accomplished very competitive growth rates and financial results when compared with other oil and gas companies. Our results in 2013 were good, and the 2014 business plan is very sound and will lead us towards our long-term goals. In conclusion, I would like to send a message of optimism and confidence to our more than 420,000 shareholders, emphasizing both the important achievements made, as well as the future growth strategy, which will make Ecopetrol a greater and stronger company. Now we open the session to questions from our participants.
Operator: [Operator Instructions] Our first question comes from Mr. Frank McGann from Bank of America.
Frank J. McGann - BofA Merrill Lynch, Research Division: Just 2 questions. One on costs, the costs seem to be somewhat higher in the quarter, particularly selling and administrative costs. And I was wondering if you could -- you provided some details in the release, but perhaps go through the key drivers there, how much of that is recurring and how we should think of those costs in 2014 versus 2013? And then secondly, in terms of the refined product pricing environment, I was wondering if you could, perhaps, give us an update on what the status is of the Congressional actions to try to redefine how prices are set for gasoline, diesel and other products?
Javier Genaro Gutierrez Pemberthy: Thank you for your questions. The first one is taken by Magda Manosalva. We have like a detailed explanation about the cost during 2013, to try to explain, in a full way what happened. Magda. Okay, we have the information additionally? Okay.
Magda Manosalva: Okay. Frank, concerning the cost, we have -- as you probably saw in Slide 7, we have some impacts, principally -- mainly coming from the Transportation model. Additionally, in Slide 7, line variable costs. What we have there is the impact of the change in the Transportation model, which was COP 2.6 trillion. On the other hand, in fixed cost, we have a total impact of COP 0.7 billion. And it was mainly the one that was not recurrent was the tax refund, especially -- specifically the cost related with the DMP, we have, as a result of the tax refund 2012. On the operational expenses side, what we have is the impact of the difference between the actuarial costs we have for the pension funds and the value of the funds we have in the trust that we use to pay the pensions. I would say that the most -- that most of these costs are not recurring but we -- especially, we are talking about here the actuarial or pension cost. This is not recurring. This is the terms of the market conditions. And for the year 2013, the impact we have was very big due to the difference between, as I said, the actuarial calculation and the value in the trust.
Frank J. McGann - BofA Merrill Lynch, Research Division: Okay. So as we look at 2014, a lot of it will depend on what happens with the market and the assets that the pension funds have in terms of investment and whether those need to be adjusted or the amounts increase in the pension fund to compensate for that?
Magda Manosalva: What we think that is going to happen, but we don't know, Frank, is that the treasury bonds are reaching -- or are about an equilibrium price at this time. So we don't expect any big impact this year as in year 2013. But it depends. It depends again on market conditions. So remember, this is a year of presidential elections and we are more exposed to volatility.
Javier Genaro Gutierrez Pemberthy: In relation with the gasoline prices and discussion in the Congress, Pedro Rosales is taking the answer.
Pedro Alfonso Rosales Navarro: Frank, as you know, the price politics of the government considers that the price that would be recognized to the refiners or in this case, to Ecopetrol, is the equivalent to the cost opportunity price for that product. That is the export fuel opportunity cost. And up to this moment, the government aim through this -- through its ministers, consider that this is a policy that would be maintained. As you know, currently, there is a proposal in the Congress that states that the fuel prices shall depend on production costs, but as I explained, the government position considers to maintain the actual policy, that is to reflect the cost opportunity for that fuels. Then we are giving to the government the information analysis to continue with that policies that we aim. We consider that will be maintained in Colombia.
Frank J. McGann - BofA Merrill Lynch, Research Division: Okay. Do we know when this might be discussed in the Congress or there might be a vote so it could get resolved, or is it something that will be open for a while?
Javier Genaro Gutierrez Pemberthy: Now we are not taking the activity in the Congress because this is the period in which they are in the process for the next election that is going to be in the March 9. Maybe they are going to renew the activity in March 16, to ending the current period and the new Congress is going to be installed in July 20 for a new period of 4 years. But right now, we don't have any additional requirements and maybe we haven't had any additional news in relation with the possibilities of discussions during the next period that is going to be between March 16 and around June, middle of the June, approximately.
Operator: Our next question on line comes from Ms. Paula Kovarsky from Itaú BBA.
Paula Kovarsky - Itaú Corretora de Valores S.A., Research Division: I also have 2 questions. The first one, when we look at the key goals for 2014, you're mentioning 819 million BOE a day of average production. I just wanted to, I mean understand, if you could share with us how much is expected to come from primary recovery and how much is expected to come from secondary recovery? And then still on the secondary recovery theme, if you could give us an update on the pilots and when exactly do you expect to have the first results of the initiatives being carried by Ecopetrol?
Javier Genaro Gutierrez Pemberthy: Thank you, Paula. Rafael Guzmán is taking the answer.
Rafael Guzmán Ayala: Yes, Paula. In terms of enhanced recovery, what you can see is that we have -- still have our developments in that area. We executed 7 pilots, new pilots, last year. We're going to be executing 13 this year and 14 next year and continue to increase. On the same hand, we initiated the full implementation of 2 of these recovery projects last year. We're going to be implementing 4 this year and next year it will be 8, and then the following, 16. So as you see, it's a strong progression towards getting both reserves and productions from these recovery techniques. The results you should take from the pilot to full implementations, that may take 2 years or so. And the response from the reservoirs, that these are not immediate, that will take some months. So most of the recovery increase from enhanced projects will be in the 3-, 4-year period and so on. Currently, our incremental oil comes mainly from primary recovery that is drilling wells and adding facilities to treat both water and oil. We have had some projects on enhanced recovery that have been going on for years, like Cira-Infantas, where you have seen a large incremental grade. And actually the Middle Magdalena Valley, where we see a slight increased production, from 107 in the last years, that's basically a maintenance of production from enhanced recovery projects. But most of the new oil will come from primary recovery for this year, for 2014.
Operator: Our next question on line comes from Pavel Molchanov from Raymond James.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: First one, on the Middle Magdalena. You have said in the past that the earliest commercial production could begin is 2016. Can you envision any scenario when that would be accelerated to an earlier time frame?
Javier Genaro Gutierrez Pemberthy: Excuse me, can you repeat the question please?
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Of course. You have said in the past that the earliest commercial production could begin from the Mid-Magdalena shale is 2016. Can you envision any scenario when that would happen sooner?
Javier Genaro Gutierrez Pemberthy: Thank you, Pavel. Rafael Guzmán will take the answer.
Rafael Guzmán Ayala: As you have seen in the past, we have been drilling stratigraphic wells to gather information. We have done that for 2 years now. This year, we continue to have a program, but given the fact that we are expecting regulations from the government this year that will allow us to drill horizontal wells and frac wells, we expect to have production tests that could be as early as this year. However, any commercial production, we expect -- we still have a target to have it in -- more towards 2015 and '16, okay? But the important thing will be to have this production test as early on as possible.
Javier Genaro Gutierrez Pemberthy: Maybe I can complement to that. The national government, the National Hydrocarbon Agency, the environmental licensing institution and the Minister of Mines and Energy, the Vice Minister announced that they are practically ready to launch in a relatively short time, all the regulations, procedures and technical rules for the development of the unconventional activities. And additionally, it is also important to mention that there are important players that are also doing pressure for the acceleration of the activities, players like Exxon, Conoco, Shell and several of them are also with a lot of interest in the development of this kind of activity in Colombia. Maybe in the next month, we're going to have more positive news about the development of the unconventional in Colombia, given that we're going to have the possibility to obtain all the permits and licenses to develop the activity.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Okay, that's helpful. And of the upstream of the E&P capital budget, $5.4 billion this year, how much will be allocated to unconventional programs?
Javier Genaro Gutierrez Pemberthy: Yes.
Rafael Guzmán Ayala: Yes, approximately $200 million of the capital program will be allocated to unconventional this year.
Operator: Our next question comes from Anish Kapadia from TPH.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: My first question was just on the gas market in Colombia. Venezuela has stated that it's going to look to reverse the gas pipeline to Colombia later this year. I acknowledge there's risk, but if this happens, what impacts would that have on your gas production, especially at Guajira? The second question is just related to the production growth on some of your key fields. If you look at Rubiales, Castilla and Chichimene. I was wondering, when you look forward over the coming years, how many drilling locations do you see that you have remaining on the field, and how many wells you're drilling on each of those fields each year? So kind of how many years of inventory do you see? And kind of more specifically on Rubiales, Pacific Rubiales talks about the field kind of coming off the plateau and declining very rapidly after 2016. Where would you see that field specifically producing at in 2020?
Javier Genaro Gutierrez Pemberthy: Okay, Anish. Pedro Rosales is referring to the gas market in our relation with PDVSA in Venezuela.
Pedro Alfonso Rosales Navarro: Anish, about the contract with PDVSA, today, that contract finished in June of 2014. More recently with that, we are having some conversation with PDVSA to see if we will consider an opportunity to extend the contract in a mutually beneficial way. Colombia has had excess gas for an extension, and probably, Venezuela would need gas during some period of time until the facilities in Venezuela finish. Then today, the contract is up to June, but we are having some conversations to see if it's mutually beneficial to extend that up to this time.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: And so, if the contract was finished in June, what would be the impact on Guajira production?
Pedro Alfonso Rosales Navarro: We have some flow of gas to Venezuela, and if that stops, we have a lower production. But it depends on the consumption of the [indiscernible] mix in Colombia, mainly that is the additional demand that we have in a way that is not permanent.
Javier Genaro Gutierrez Pemberthy: But maybe that is in – try to emphasize is that we continue negotiation process with PDVSA. Yes. Rafael Guzman is taking the answer in relation with the developing of the tools.
Rafael Guzmán Ayala: Yes, from our main fields in the Llanos, both Castilla, Chichimene and also Quifa and Rubiales, we will continue with the same drilling pace that we have had in recent years. In addition to drilling the wells, we are constructing facilities both in Chichimene and Castilla that will allow us also to increase perhaps the pace that we have seen up to now in those 2 fields. In terms of longer-term plans for all of those fields, including Rubiales, that's something we, of course, review very carefully and we do have integrated plans to develop all of those fields for the near- and long-term future.
Anish Kapadia - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: And just trying to understand, in terms of your drilling inventory, for example, with Rubiales and Castilla, how many years of drilling inventory have you got when you're drilling at the current rate? And maybe to kind of put it another way, Castilla currently producing at 110,000 barrels a day or so, you want to get to 200,000 barrels a day, how many wells would be required to do that?
Rafael Guzmán Ayala: Okay, so for Castilla, the target, as you mentioned, is to reach 200 million barrels. Once we have the facilities, as I said, we'll speed up the drilling. I would say that we can have 100 to 150 wells drilled in this reservoir per year.
Operator: Our next question on line comes from Felipe Gouveia from HSBC.
Luiz Felipe Carvalho - HSBC, Research Division: This is Luiz Carvalho speaking here. I have 2 questions. The first one, if you could share with us what's your strategy behind, let's say, the bid round that will happen in Colombia. Of course, it's something that you could keep private. But if you could share with us a bit of color what's your view on that, and if it's included in the CapEx for 2014? And also, if you could share with us the breakdown of production by field for 2014 numbers?
Rafael Guzmán Ayala: I'll answer the first one and I'll ask you to repeat the second question after because I didn't understand that. For the bid round, we have always participated in these bidding rounds in Colombia and we have acquired several blocks. The next bid round is in unconventionals and offshores, that's something we're interested in Colombia. So at the moment, we're analyzing the data and making a decision where to participate. Now for the second question, could you please repeat that?
Luiz Felipe Carvalho - HSBC, Research Division: Just a follow up on this first one. Is any budget already placed in 2014 CapEx for the bid round or it's separate?
Rafael Guzmán Ayala: No, that's separate. That will be allocated once we have decided what blocks to participate.
Luiz Felipe Carvalho - HSBC, Research Division: Okay, the second question is with regards to the breakdown, the production guidance for 2014, if you can share the breakdown per field?
Rafael Guzmán Ayala: Yes, for the main fields, we expect to reach production for Castilla of roughly 130,000…
Javier Genaro Gutierrez Pemberthy: Average.
Rafael Guzmán Ayala: Average, yes. For the Rubiales, our net participation, close to 120,000. Castilla, significant increment to around 75,000 barrels. And the oil fields basically, slightly increased or maintain production.
Operator: [Operator Instructions] Our next question online comes from Biraj Borkhataria from RBC Capital.
Biraj Borkhataria - RBC Capital Markets, LLC, Research Division: I have 2, if I may. The first one on the transport division. What are your expectations on pipeline integrity as we go into elections this year? And second question is more broadly on your medium-term targets, when -- you've mentioned the 1 million barrels before in 2015 [indiscernible]?
Javier Genaro Gutierrez Pemberthy: Excuse me, Biraj, can you repeat the second, please?
Biraj Borkhataria - RBC Capital Markets, LLC, Research Division: The second question?
Javier Genaro Gutierrez Pemberthy: Yes, please. Can you repeat the second question?
Biraj Borkhataria - RBC Capital Markets, LLC, Research Division: Yes, the second question is on your medium-term production target, when do you expect to hit 1 million barrels a day in production?
Javier Genaro Gutierrez Pemberthy: Okay, thank you. Okay. Thomas Rueda is taking the answer to the first question, yes. Maybe I suppose you are referring to the security, in the first question, yes?
Biraj Borkhataria - RBC Capital Markets, LLC, Research Division: On the -- sorry, could you repeat that?
Javier Genaro Gutierrez Pemberthy: In the first question, maybe you are referring to the security impact?
Biraj Borkhataria - RBC Capital Markets, LLC, Research Division: Yes, yes, exactly.
Javier Genaro Gutierrez Pemberthy: Yes, okay. Thomas Rueda is referring to that point. Please, Thomas.
Thomas Rueda: Biraj, thank you very much for your question. It's obviously a very timely and good question to ask, and it's obviously an area that concerns us significantly. We are doing many things in order to ensure that we are impacted in a very low way from security incidents. One thing you can do is to work with communities and obviously, with the army in a very close manner, which is what we're doing in order to avoid from incidents from occurring. Of course, as you say, we're going into elections, and the expectation is for incidents to increase and as Mr. Gutierrez was saying before, that's something we've seen already in the past few days. However, working very close to communities and with the army is what we're doing and that has always proven to be very beneficial. The second thing we're doing from an operational standpoint is to ensure that we can get to the areas that are affected in a very quick way and secure that no -- first, there's no environmental impacts that are going to harm the rivers and the communities nearby. And second, that we can -- we don't have any impact on production which is, obviously, very important. So we are focusing big time on security, working very close to communities and having the operational side of things very much ready to act.
Javier Genaro Gutierrez Pemberthy: Rafael Guzmán is referring to the production targets.
Rafael Guzmán Ayala: Yes, we continue on, we are very committed to reach our target of 1 million barrels of oil per day by 2015. And we have clear plans to reach that. We're currently heavily invested in both Castilla and Chichimene in both facilities and drilling. Castilla will reach a production of 200,000 barrels per day, so that's an incremental of 80. Chichimene will reach 100,000 barrels per day, incremental of roughly 40, and both Caño Sur and Akacías, once we have the environmental license for development, we will immediately start building facilities and drilling. And each one of these will reach about 24,000 barrels of oil per day, net to Ecopetrol. With this project, again, we are reaching our target in 2015.
Operator: We have a follow-up question again from Mr. Frank McGann from Bank of America.
Frank J. McGann - BofA Merrill Lynch, Research Division: Yes, just 2 things more if I could. One, just could you confirm the number. I think you said 100,000 barrels a day in 2014 for Chichimene, which was your expected average production. And then kind of a big-picture question, just thinking about your developments and the industry in Colombia. Looking out, say, over the next 2, 3 years, in terms of costs, trends and other things, a lot of the fields are already mature and you've had very good success in bringing production up very sharply in recent years. I'm just wondering what you -- how you see the overall cost trends going forward? Are you going to start to see a significant increase in cost? Can you hold that back because volumes are going to be significant enough that the unit costs don't revise much? How do you see overall cost performance going forward?
Rafael Guzmán Ayala: Okay. First, to clarify, the production level -- the annual average level for Chichimene will be close to 75,000 barrels per day, okay? And when I mentioned -- perhaps that's your confusion -- when I mentioned that we will reach 100,000 was for 2015 in Chichimene field. And going from a current level of 50,000 to 60,000, that's an incremental 40,000, again, for 2015. And to your question, we still have a lot of room for infill drilling in most of our main fields, which are Chichimene, Castilla, Rubiales and Quifa. That's primary recovery and drilling of wells, so we continue a large pace of drilling in these wells. Now in those wells and all of the -- in those fields and the oil fields in Colombia, our strategy is to move quickly into enhanced recovery, both secondary and tertiary recovery. And as you can see in our presentations, we are speeding up that process, going from 7 pilots last year, then 13 pilots next year and continue like that. In addition, implementation of those enhanced recoveries are also speeding up. Last year we initiated 2. This year, we'll initiate 4. Next year, 8, and the year after, 16. So that's a continuation of the recovery from these reservoirs. Now the recovery projects where we inject water, once we have the facilities, the investment will be mostly on wells and injection, so it doesn't add too much of a cost to develop on top of what has been done already. Now the story might be slightly different for thermal recovery, where the investments are a bit higher. In the thermal recovery, we are at an earlier stage. As you know, we have one pilot in Quifa, and we will start another pilot in Chichimene. But recoveries from these thermal pilots will come toward the end of our strategic period 2020.
Operator: Our last question comes from Mr. Diego Usme from Ultrabursatiles.
Diego Usme: My question is about the transportation costs, and if you can help me to understand better -- in a better way this issue. I understand according to the last answer that you gave me on the last conference call that the new model increased the cost of transportation because of the -- you are paying a fee to Cenit. But in the future, those resources or this money are going to come back to you by the way of dividends. But -- that's the way in which I think that it works. But how, in fact, it affects the cost of transportation by barrel? And the second thing, the second question is if you can give me some color about the evolution of the requirements of diluent for 2014? Do you think that the fact that you can incorporate Reficar or you continue the modernization works in Reficar are going to affect, this year, the cost of the diluent?
Javier Genaro Gutierrez Pemberthy: Thank you for your questions, Diego. I'll answer in 2 parts. The first one is going to be taken by Thomas Rueda to explain about the cost and the tariff structure, yes. And Magda is going to explain about the impact and how they are reflected in our numbers. Thomas, please?
Thomas Rueda: Okay, in terms of the cost increase that you see in transportation in 2013, it's mainly coming from 2 systems. One is Ocensa, the second one is being Bicentenario. The reason why you see an increase in Ocensa is because of the decision that was taken to change Ocensa from a cost center into a more usual type of company, which is a profit center. The decision was made to use our Ministry of Mines tariffs charged in Ocensa, and of course, that has had an impact on Ecopetrol. One of the main reasons why that was done was because of the shareholder structure that existed in Ocensa was very difficult to make additional investments to grow the system and it was part of a conversation to do something much simpler, which is going to give Ocensa the tools to increase its capacity by around 170,000 barrels per day. So you do see an increase in 2013, but if you analyze the situation in the next 4, 5 years, and you look at our net present value, that situation is going to be very positive for Ecopetrol and the group. The second is Bicentenario, and the reason for the increase that you see is because the cost of the project was increased because of many reasons: timing, security, social unrest, et cetera, and that's what you see as a cost increase. I'm going to ask Magda to explain to you how -- due to your second question, how that comes back into the group. And you're right, it comes back via dividends, and Magda is going to give you the details right now.
Magda Manosalva: Thank you, Thomas. Diego, the answer to your question is that the transportation model the company implemented in 2013 have a mutual effect on the financial statements or on the financial results of the company. How that works? On one hand, we have 2.3 billion concerning the higher costs because the tariffs we have to pay. On the other hand -- this is the cost side. On the other hand, what we have is that we are going to receive in the order of 1.1 trillion in dividends or in participation through the participation method. On the other hand, we have to -- we have savings on taxes due to the transfer of the assets to the other company, to Cenit, and that amounts to the $0.8 billion. And the remaining 200 billion is related with depreciation and amortization on those assets. So all in all, the effect on our results is neutral. Is that clear for you, Diego?
Diego Usme: Yes, it’s clear. Yes, the second question about the cost of diluents?
Javier Genaro Gutierrez Pemberthy: Pedro Rosales, please, is going to refer to the diluent. And if possible, Reficar impact?
Pedro Alfonso Rosales Navarro: Okay, Diego. Our diluent needs and what happened with Reficar, what we expect is to finish the mechanical completion for all of the units in Reficar this year. That will allow us to begun with the startup of the refinery in the first days of the next year, and we expect to have that refinery in -- with oil plants started by May of 2015. Then we don't expect any impact this year. What would happen in 2015 is that we will have some naphtha proceedings from Reficar that will be used if it's economically better than imports of natural gasoline. And we would review that according to the benefits for the whole company.
Diego Usme: But are you seeing an increasing of requirements of diluents according to the change that you provide to heavy crudes?
Pedro Alfonso Rosales Navarro: No, no. What we'll expect is that if in the way that we increase our production of heavy crudes, we'll need more diluent according to that because we would need to transport by the pipelines. But the proportional increase depends on the fields that the crude will be produced. And then what we expect is to have a proportional increase in the volumes depending on the incremental production of heavier crudes.
Operator: We have no further questions at this time. I would now like to turn the call over to Mr. Giraldo for closing remarks.
Alejandro Giraldo: Okay, thank you, all, for your participation. For any follow-up questions, you can contact us at Investor Relations and have a good afternoon. Goodbye.
Javier Genaro Gutierrez Pemberthy: Ladies and gentlemen.
Operator: Thank you ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.